Operator: Good day and welcome to the TriNet Group, Inc. Third Quarter 2015 Conference Call and Webcast. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference call over to Mr. Alex Bauer, Investor Relations. Mr. Bauer, the floor is yours, sir.
Alex Bauer - Executive Director-Investor Relations: Thank you, operator. Good afternoon, everyone, and welcome to TriNet's 2015 third quarter conference call. Joining me today are Burton M. Goldfield, our President and CEO, and Bill Porter, our Chief Financial Officer. Burton will begin with an overview of our third quarter operating and financial performance. Bill will then review our financial results in more detail. Bill, Burton and I will then open up the call for the Q&A session. Before I hand the call over to Burton, please note that today's discussion will include forward-looking statements, including predictions, expectations, estimates or other information that might be considered forward-looking. During today's call, we will present some important factors relating to our business, which may potentially affect these forward-looking statements. These forward-looking statements are also subject to risks, uncertainties, and assumptions that may cause actual results to differ materially from statements being made today. We encourage you to review our most recent public filings with the SEC for a more a detailed discussion of these risks and uncertainties that may affect our future results or the market price of our stock. In addition, our discussion today will include non-GAAP financial measures. For reconciliations of non-GAAP financial measures, please see the company's public filings including the most recent Form 10-Q filed with the SEC and the Form 8-K filed today, all available on our website. Finally, we are not obligating ourselves to revise our results or publicly release any revision to these forward-looking statements in light of new information or future events. With that, I will turn the call over to Burton for his opening remarks.
Burton M. Goldfield - President, Chief Executive Officer & Director: Thank you, Alex, and good afternoon. I first would like to apologize in advance for my voice. I have laryngitis. We are pleased that our Q3 results were in line with our forecast. On today's call I will focus on Q3 and the balance of 2015. We will provide our outlook for 2016 on our Q4 earnings call. Despite our success in Q3, it has been a more challenging year than we anticipated, specifically with respect to the insurance services component of our business. With that said, I am encouraged by the fundamental strength of our business, and I am pleased with the progress we have made in a number of areas. During the third quarter, professional services revenues grew 14.5% year-over-year to $99.4 million. WSE count grew by over 12,000 to 314,930, up 15.4% year-over-year and up 4.2% from the prior quarter. Our Net Insurance Service Revenues came in line with our forecast in Q3. Workers compensation claims experience came in as expected during the third quarter, and I remain comfortable with the workers comp 2015 forecast I provided during Q1. Benefits administrative fees came in predictably with our WSE count in Q3. Our benefit performance in Q3 performed in line with our Q2 claim assumptions. Although in Q3 the Insurance Services component of our business came in line with our forecast, I am focused on improving this part of our business as we continue to grow and take full advantage of the market opportunity in front of us. We are doing a deep evaluation of our insurance services. This includes evaluating a number of operational and insurance constructs. We will provide an update of our progress when we announce our Q4 results. We are bringing in new talent. I have met with excellent candidates as part of the search for the Senior VP of Insurance Services. Additionally, our team is in the advanced stages of selecting from a number of strong candidates for our Chief Medical Actuary position. As I said, the fundamental business remains strong. And looking ahead, the momentum achieved in Q3 bodes well for 2016 and beyond. We finished Q3 with 479 quota-carrying sales representatives, on a target to finish 2015 at or above my commitment of 470 reps. I am pleased with the quality, experience and background of the reps joining the company. TriNet is singularly focused on our mission: powering our clients' business success through extraordinary HR. Each day, 55 million people go to work at companies with between 1 and 500 employees in the U.S. These companies work for a wide range of organizations across many sectors that have one thing in common – they are all struggling with the increased regulatory burdens and HR complexity. Whether it is navigating the Affordable Care Act and the federal overtime rules or providing attractive benefits for their employees, HR for these companies is far more than payroll. TriNet is well-positioned to be our clients' trusted advisor in these areas. Additionally, each company and each industry vertical has unique needs around the service offerings, integrations to third-party systems, reporting requirements, and price points. The needs of a hedge fund are different than the needs of a software company or a restaurant. TriNet's verticalized approach recognizes these differences. With respect to the go-to-market strategy, we have organized our sales team by product and by business vertical in order to penetrate this large addressable market. Additionally, from a competitive standpoint in 75% of the deals we quote, our sales team is competing against an unbundled solution where prospects piecemeal their HR by navigating a complex Web of vendors and brokers. By all accounts, this is a highly un-penetrated market. During the third quarter, we completed the launch of a new Ambrose product on the common TriNet platform to outstanding reviews. We have taken the Ambrose product and significantly improved the user experience, as well as provided additional functionality, including mobile apps and better reporting. This technology enhances the high-touch service model with top tier benefits and direct access to compliance, tax and other specialists that Ambrose clients have always valued. The updated Ambrose products joined the Passport and TriNet Life Sciences products in leveraging our common TriNet architecture. This approach allows us to build out new vertical products that demand different service models, price points, workflows, and reporting requirements. We are excited and encouraged by the early successes of our new vertical-specific products on a common platform. Based on these successes, additional specific vertical products will be available during fiscal year 2016. The evolution of the SOI sales channel continues. During the quarter we successfully onboarded a high-end clothing retailer with 100 WSEs in 15 stores nationwide. What is particularly interesting about this sale is in our SOI team with retail expertise analyzed the retailer specific strategy and created a tailored solution to fit their specific vertical needs. I look forward to more success using this strategy. SOI sales are trending in the right direction, and client wins, like the retailer this quarter, strengthen our resolve that the vertical focus wins in the marketplace. And with that, I'd like to turn it over to Bill for the financial review. Bill?
William Porter - Chief Financial Officer & Vice President: Thanks, Burt. As we review the financials, I will focus on the non-GAAP numbers and go into the GAAP numbers where appropriate. Our third quarter Net Service Revenues increased 5% to $134 million year-over-year. Total WSE count was 314,930, up 15.4% year-over-year and up 4.2% since the end of the second quarter. Professional service revenues increased 14.5% to $99.4 million year-over-year. Net Insurance Service Revenues declined 16.7% year-over-year to $34.1 million. The year-over-year decline was driven by a reduced contribution from our benefit performance. Net Insurance Service Revenues with respect to health insurance came in line with our revised forecast. Run rate medical claims and pharmacy claims came in as expected, and the frequency and severity of large medical claims were consistent with our revised forecast. Workers compensation net revenues were also in line with our forecast. Total adjusted EBITDA for the third quarter declined 25.7% year-over-year to $30.8 million compared to $41.5 million for the prior-year period. Our Q3 adjusted EBITDA margin was 23.1%. Adjusted net income for the third quarter declined 34% year-over-year to $13.3 million or $0.19 per share compared with $20.2 million or $0.28 per share in the same quarter last year. The year-over-year decline in adjusted EBITDA, and adjusted net income was driven by a reduced contribution from our Net Insurance Service Revenues. Our GAAP effective tax rate was 57.9% for the third quarter, primarily due to an increase in our blended state tax rate, which increased our state tax expenses and resulted in a discrete charge of $650,000. Our Q3 pro forma effective tax rate was 41.5% an increase from 40.5% due to the increase in our blended state tax rate. We expect our Q4 pro forma expected tax rate also to be 41.5%. During the third quarter we generated $54.9 million in free cash flow, which is defined as operating cash flow less CapEx. Historically, we have spent approximately 3% to 4% of our Net Service Revenues on an annual basis on capital expenditures. During Q3 our CapEx spending totaled $4.4 million, which was 3% of Net Service Revenues. We closed the quarter with total debt of $505 million, representing a debt to adjusted EBITDA ratio of 3.5 times trailing 12 months adjusted EBITDA. We spent an additional $19 million in the quarter to repurchase stock. Total cash was $146.3 million at the end of the third quarter and working capital was $54.4 million. As Burton said, 2015 has been a difficult year for the Insurance Services component of our business. Until we can report more progress in this area, we're taking a measured approach to our fourth quarter outlook. For Q4 2015, we now expect Net Service Revenues to be in the range of $150 million to $155 million, which represents growth of 20% year-over-year. Adjusted EBITDA in the range of $44 million to $49 million, and adjusted net income in the range of $22 million to $24 million or $0.29 to $0.33 per diluted share. Our revised Q4 guidance is a result of a lowered Net Insurance Service Revenues forecast. And now I'll turn it back over to Burton.
Burton M. Goldfield - President, Chief Executive Officer & Director: Thanks, Bill. In summary, we continue to penetrate the large addressable market with a 15.4% year-over-year growth in WSEs. Our vertically driven value proposition resonates with prospects and clients. And with that, let me turn the call over to the operator for the Q&A portion of the session. Operator?
Operator: And thank you, sir. The first question we have comes from Smitti Srethapramote of Morgan Stanley. Please go ahead.
Danyal Hussain - Morgan Stanley & Co. LLC: Hi, Burton, Bill, and Alex. This is Danyal Hussain calling in for Smitti. I'd just like to start off with a question on the claims costs. So this quarter again, they were 94% of insurance revenue, which is atypically high. And in last quarter, you did increase guidance, I think, by about $5 million per quarter. So that seems to explain some of this difference, but not all of it. And you did lower guidance for the year. So just trying to understand how this came in line with expectations and what you were expecting for the quarter. Thanks.
William Porter - Chief Financial Officer & Vice President: So for Q3, we pretty much came in, Danyal, as we had expected on the benefit performance component, which is the premiums came in in line and the claims came in in line. For Q4, we are slightly lowering our forecast. And that's just based on the experience that we received in Q3 on both claims and premium data. It's not a large change, but it's change that we think is prudent given we're still working our way through some of the insurance initiatives that we discussed.
Danyal Hussain - Morgan Stanley & Co. LLC: Got it. And could you just talk about the claims in general and how they differed from last quarter? Is it all just California again? And did you get any color – I think, from Blue Shield, you called out last time, but were other companies seeing sort of the same issues in California? Thanks.
William Porter - Chief Financial Officer & Vice President: Sure. Now, California was pretty much coming in as we had expected it would from Q2, slightly higher. But that's been kind of in line with what we saw. So no real changes, I think, in the rest of the country.
Danyal Hussain - Morgan Stanley & Co. LLC: Okay. And then maybe one last quick one, if I may. I think you had a consultant come in. Just wondering if they've delivered a recommendation yet, or if you're still just waiting for other ingredients to make a decision going forward? Thanks.
William Porter - Chief Financial Officer & Vice President: Sure. As Burton mentioned, we're working through a number of both operational and insurance constructs as we work our way through the fourth quarter. And so part of that is getting some consulting advice on a couple of different fronts as well as looking at pricing both from carriers and the reinsurance markets. All of those things are happening, and we're making progress. But I think we just have to wait for them to develop until we can report out in Q4 when we do our earnings.
Danyal Hussain - Morgan Stanley & Co. LLC: Great. Thank you.
Operator: Tien-tsin Huang, JPMorgan.
Tien-tsin Huang - JPMorgan Securities LLC: Hey. I just wanted to build on that last question, just on everything coming in line in the third quarter. I heard you say the lower net insurance sort of outlook based on the claims and the premiums, et cetera. But anything else that's causing sort of the lower view? Is there anything from a retention standpoint or pricing that you're seeing, conversationally? Just fundamentally trying to build on just the claims change. Thanks.
William Porter - Chief Financial Officer & Vice President: Sure. No, it really is just a refinement on the benefit performance for the net insurance side, Tien-tsin. It's a small change on a relatively large number, is really what's resulting in us slightly lowering the Q4 outlook.
Tien-tsin Huang - JPMorgan Securities LLC: Understood. And then just, I guess, given that, does that change the bigger picture question of how you want to address volatility and pricing in the claims picture overall?
Burton M. Goldfield - President, Chief Executive Officer & Director: Hey, Tien-tsin, this is Burton.
Tien-tsin Huang - JPMorgan Securities LLC: Burton (21:02).
Burton M. Goldfield - President, Chief Executive Officer & Director: Absolutely, not – a great question. Absolutely not. Q3 came in line. I was thrilled with that. I just want to be cautious on Q4. As you realize, we have not enacted the changes. And until I do, the fundamental construct remains the same. So during Q4, before we set up 2016, we'll put some of those constructs in place. The progress we've made both on the consulting front, the personnel front and the insurance and reinsurance constructs is excellent. So I'd characterize that we made progress on all three fronts, and there are options available to us. And we'll talk more about that. But the bottom line is until we lock that down, I am committed to doing something.
Tien-tsin Huang - JPMorgan Securities LLC: Okay. Fair enough. One more, if you don't mind. Just a quick one on the...
Burton M. Goldfield - President, Chief Executive Officer & Director: Sure.
Tien-tsin Huang - JPMorgan Securities LLC: Looking at the cash flow statement, it looked like you guys did a small acquisition, if I saw that correctly. Can you verify that? I think it was (22:10) acquisition?
Burton M. Goldfield - President, Chief Executive Officer & Director: No, that's very fair. We did see the ability to acquire some technology that we think will be useful as we continue to build out our platforms. And so that's what was accomplished in the quarter, and we'll talk more about that as we announce which particular vertical platforms that will be able to add to in Q4.
Tien-tsin Huang - JPMorgan Securities LLC: Okay. So more technology driven. Thank you.
Burton M. Goldfield - President, Chief Executive Officer & Director: Yes.
Operator: Paul Ginocchio, Deutsche Bank.
Ato Garrett - Deutsche Bank Securities, Inc.: Hi. Good afternoon. This is Ato Garrett on for Paul Ginocchio.
Burton M. Goldfield - President, Chief Executive Officer & Director: Hey.
Ato Garrett - Deutsche Bank Securities, Inc.: So, just going back to some of the options and things that you're considering about how to manage the insurance cost experience. Can you just like list out or maybe just give us some directionality about what kind of things you're considering, one, and then two, like what portion of your business do you think could really be affected? And then, three does that really change your – at how you think that might affect your go-to-market position in terms of your competitiveness in the marketplace, if you do like a pricing change does that really change how you're going to go to market?
Burton M. Goldfield - President, Chief Executive Officer & Director: So, let me repeat what we talked about. There's really three areas. One is taking the insurance operational construct and putting it under an SVP of Risk reporting directly to me. I expect to get more strategic and operational focus on this area of the business. We will be looking at enhancing our forecasting capabilities and ability to monitor and manage that part of the business. The second area is new insurance constructs either on one end of the spectrum would be more fully insured plans. Today 40% of our plans are fully insured, 60% of our plans are high deductible plans and whether we should move more towards the fully insured side of the plans. The opposite end of that spectrum is reinsurance, which would be a combination of either reducing pooling limits – today the pooling limits are somewhere between $350,000 and $1 million by carrier. Reducing those pooling limits and/or putting in aggregate pooling limit in place, meaning a total limit on the entire claims activity in any one quarter to dampen that volatility. And so that's the insurance construct. And among those we do not expect it to impact our ability to continue to grow at 15% top-line revenue growth each and every year. And from a pricing standpoint we believe over time we can continue to price the risk but remove the volatility from the business.
Ato Garrett - Deutsche Bank Securities, Inc.: Okay, great. Thanks. And just looking at the growth rates between your WSEs and your sales teams, it seems that your sales team growth is staying pretty steady, over 20% last three quarters where we've seen some slowing down on the WSE growth. If you can just talk about what might be driving that disconnect, whether it's a timing issue or anything else.
William Porter - Chief Financial Officer & Vice President: Sure, Ato. As we look at it, it's one of the things that we continue to focus on, which is really bringing in the new sales talent, training them, getting them up to speed. It's a challenging piece of the business as we've talked, and the biggest thing we're focused on is trying to get the newer reps moved over to become experienced reps. And so that's the component that we're continuing to focus on at some point. Hopefully, those two will align where we can – we'll start to see more of those reps move over and see higher growth rates. But at this stage, I think it's still work in process, and we think we're making good progress. But the two growth rates will never really align as we've talked because the existing installed base is so large, it's not going to completely align with the growth on the sales force. But that being said, we think we are making progress, but it will take some time to see that reflected in the growth rate.
Ato Garrett - Deutsche Bank Securities, Inc.: It sounds like it – would it be fair to say that that's more of a ramping issue than anything else of your sales force as it grows?
Burton M. Goldfield - President, Chief Executive Officer & Director: Yeah, it's a ramping issue. Where it will become more evident is in Q1. The new reps came on by, as previously stated, by July 1. They trained between July and December, focused on the January through March sales. So you'll have a very good indicator on the success of the new sales reps based on new sales in Q1. So they don't have a quota until the Q1 of 2016.
Ato Garrett - Deutsche Bank Securities, Inc.: Okay, great. Thank you very much.
Burton M. Goldfield - President, Chief Executive Officer & Director: No problem.
Operator: Next we have Tim McHugh of William Blair.
Timothy McHugh - William Blair & Co. LLC: Hi. Thanks, guys. Just I guess not to beat the dead horse, but I'm trying to understand, I guess, if trend came in line with what you thought during the quarter, why change the assumptions? I would assume you got fairly conservative after last quarter. So I'm trying to guess what changed that caused you to be more cautious than you were last quarter as we think about Q4?
William Porter - Chief Financial Officer & Vice President: Yeah, Tim, again, they're fairly small changes to fairly large numbers in terms of both premiums and claims. And so as we looked at what we saw with our experience across all the carriers, it – our actuarial forecast indicated we should make a slight change to the numbers based on the most recent information we have, and that give the result of why we lowered a bit in Q4. So could we say we're being more cautious? Yeah, we could. But, again, we're trying to take the most current information we have and reflect that in our outlook.
Timothy McHugh - William Blair & Co. LLC: Is there anything about how the trends progressed during the quarter? I guess, I mean, did it get, well within line with your number for the quarter? Was September more challenging and that's why you're updating the projection?
Burton M. Goldfield - President, Chief Executive Officer & Director: Tim, if you look at how the adjustment in Q2 was allocated, it was definitely allocated to Q3 and likely allocated to Q4. Actually September was very good, and I'm just trying to be conservative.
Timothy McHugh - William Blair & Co. LLC: Okay. And then have you tried changing the pricing at all, I guess, to make up for some of this with clients? And how successful have you been at doing that? And what's the client push back been as you've gone to market on the health side?
William Porter - Chief Financial Officer & Vice President: Yeah, Tim. That's just part of our normal progress, which is we always update our pricing for new business and existing business as we see the results of how existing business performs. And effective for new business sales, our total experience tells us what we think medical trend should be. So we've taken that and reflected that in our Q4 business, as well as in what our renewals will be for Q1. And again, I think it's pretty in line with our normal experience. Those who generally have higher utilization will get the higher increases when it comes to existing clients. And in terms of new business, we think our new business rates are pretty comparable to what we'd see out in the market based on what others are seeing, particularly as we mentioned last quarter with what we were seeing in California with higher claims experience that was similar to what was being seen by our largest carrier in California. So we think we're reflective of what's in the market. And I think the activity that we see from our sales team is indicating that there's a lot of activity out there and business is good. But we just have to make sure we can see how that business closes, which is what we'll be able to update you on in Q4.
Timothy McHugh - William Blair & Co. LLC: Okay. Thank you.
Operator: David Grossman, Stifel Financial.
David M. Grossman - Stifel, Nicolaus & Co., Inc.: Thank you. If I take the – more or less the midpoint of your guidance, it would seem to suggest that you'd be doing EBITDA margin somewhere in the 28% range. Does that guidance assume that you're breaking even on the healthcare business? Does it imply that you're losing money or perhaps making a little money on that business for the calendar year?
William Porter - Chief Financial Officer & Vice President: Yeah, David. This is Bill. It's going to be right around the breakeven level. But again, we'll finally see how it sorts out in Q4. But it's going to be approximately an NNR of around 85 (31:22), which is the breakeven estimate we gave before. But again, a small change on a large number could give us the resulting adjustment we did for Q4. So, not dramatically different, but enough to make a small adjustment.
David M. Grossman - Stifel, Nicolaus & Co., Inc.: Right. So without – I know you have a process of reevaluating the strategy. However, if you're breaking even on that business this year and you're contemplating changes for next year, is there any reason for us to think that even if you do pass through some of that risk that that effort or that initiative would be, at least, margin breakeven if not accretive if properly executed?
William Porter - Chief Financial Officer & Vice President: I think we'll wait to really give our outlook for Q4 once we've finished the work. And so I think that's the right way to look at it. And we'll have a lot more to talk about once we have the construct and the team further in place in Q4.
David M. Grossman - Stifel, Nicolaus & Co., Inc.: Okay. I guess just one other question was on just the professional services revenue. It seems like it's normalized back to kind of a mid-teens growth rate. Is that pretty much where you would expect it to stabilize at, or do you think that you would perhaps get back to the higher rates of growth we saw over the past couple of quarters, or the last several quarters?
William Porter - Chief Financial Officer & Vice President: I think that's probably a reasonable expectation, is that mid-teens is a good baseline for now, David. And I think until we get some more experience I think that's what I would assume. It's in line with our organic growth model. So I think it's a good assumption.
David M. Grossman - Stifel, Nicolaus & Co., Inc.: Is there anything underlying that deceleration?
William Porter - Chief Financial Officer & Vice President: No. Again, I think we saw a similar deceleration when we go from Q2 to Q3 last year. So there's normally a seasonality to our third quarter. It's the summer season, so we usually do see some business decelerate. But in total, I think it's – mid-teens is a good estimate going forward.
David M. Grossman - Stifel, Nicolaus & Co., Inc.: All right. Very good. Thank you.
Operator: Next, Jason Kupferberg of Jefferies LLC.
Amit Singh - Jefferies LLC: Hi. This is Amit Singh for Jason. Just wanted to talk on the WSEs again. I mean, the year-over-year growth in WSEs has been on a decline over the last few quarters, as you were talking about all the initiatives that you're taking and still being able to grow 15% top line going forward. So what type of WSE growth should we expect over the next year for you to be able to do this type of organic growth? If nothing changes in pricing, should we expect at least the 15% year-over-year growth going forward?
William Porter - Chief Financial Officer & Vice President: Yeah, again, I think the volume should pretty much align with the total organic growth rate. So, yes, I do think that's a reasonable assumption.
Amit Singh - Jefferies LLC: All right. Perfect. And then again on the – it was previously asked on the margins, previously you had been guiding to a top-line growth of 15% organic and then 33% EBITDA. It seems like 33% EBITDA is not going to be the case once you guys do the overhaul, so to speak, of the overall operations. So, is there any sort of guidance where the EBITDA margins could land? I mean, we're talking about in the fourth quarter if it's break even, you'll be around 28%. Is that the way to look at the business going forward?
William Porter - Chief Financial Officer & Vice President: No, I think we should wait, and in 2016, once we have the insurance and constructs in place, I think we'll be able to provide you with just a really better outlook. So as Burton mentioned, we're really not focusing on 2016 in this call, so I think you just have to hold on to that question until we finish the results of our insurance work and we can really give you, I think, better information and guidance on our Q4 call.
Amit Singh - Jefferies LLC: All right. Thank you.
Operator: Next we have George Tong, Piper Jaffray.
George K. F. Tong - Piper Jaffray & Co (Broker): Hi. Thanks. Good afternoon. Going back to the earlier question on the lower 4Q guidance based on the latest claims and premium data, could you provide some additional color that related to the frequency of acute medical claims that's coming in? Or is related to the demographics, is it related to the cost of claims, or some other factor?
William Porter - Chief Financial Officer & Vice President: Yeah, I don't think it's – we don't have anything that's that specific, George, to indicate a change. It's really a slight change in the outlook on premiums and the slight change in total claims, and there's many different components to those. But I think both of those are the things that are just driving the change that we did for Q4. So we're trying to be, again, a little bit more cautious given some of the experience we saw in Q2, and we think that's the right way to do it for Q4.
George K. F. Tong - Piper Jaffray & Co (Broker): Okay. Got it. And then on the professional services side, professional services revenue per average WSE ticked down slightly in the quarter even with a relatively easy comp like last year. Could you talk about pricing trends you're seeing in professional services?
William Porter - Chief Financial Officer & Vice President: Sure. And generally, we do see a year-over-year decline in the third quarter, but we're not seeing anything that I would say is a trend. There are a number of items, which do affect price per average WSE. And there's mix within products, there's mix within size within products, and there's also a little bit of what comes in in new and what exits with attrition. So with all of those different factors I don't think we have anything that I would say at this stage is a trend, George. So we do see periodically we'll be up 1.5% or so some quarters and down 1.5% or so in other quarters. So at this point I think there's just a little bit of noise that happens every quarter. But we'll be able to take a look at that and talk about guidance for pricing when we talk about Q4.
George K. F. Tong - Piper Jaffray & Co (Broker): Got it. That's helpful. And then last question, this relates to the workers comp. You indicated you workers comp is coming in all in line with expectations. Based on your past experience, typically does a step up in workers comp expense in year one typically translate into another step up in workers comp expense in year two, given how actuarial accruals are calculated based on past claims experience?
William Porter - Chief Financial Officer & Vice President: Well, I said something that as we work with our actuaries, and now that we actually have our own actuary in house, we will continue to look at. But we try to anticipate what that is as we looked at what that was in the first quarter. So we're attempting to make sure that we've got that all inclusive. And then again you just have to look at the data as it comes in to see if you've got that correct. And based on everything we know at this stage, it feels like we've got the trajectory in line. And we'll just continue to monitor it to make sure that is the case.
George K. F. Tong - Piper Jaffray & Co (Broker): Great. Thank you.
Alex Bauer - Executive Director-Investor Relations: And with that...
Operator: That does conclude our question-and-answer session and today's conference call. We would like to thank the management team for their time today. And we thank you all for attending today's presentation. At this time you may disconnect your lines. Thank you and have a great day, everyone.